Operator: Good morning and thank you for waiting. Welcome to Companhia Paranáense de Energia - Copel Conference Call to Present the Results of the Fourth Quarter of 2017. We would like to inform you that all participants will be in listen-only mode during the Company’s presentation. Afterwards, we will have a question-and-answer session when further instructions for you to participate will be given. [Operator Instructions] Before proceeding, we would like to clarify those forward-looking statements that might be made during this call related to Copel’s business perspective; operating and financial projections and targets are beliefs and assumptions of the Company’s management as well as information currently available. Forward-looking statements are not guarantees of performance, as they involve risks, uncertainties and assumptions, as they refer to future events, and therefore they depend on circumstances that might or not occur. General economic conditions, industry conditions and other operating factors may affect the future performance of Copel, and may lead to results that differ materially from those expressed in such forward-looking statements. Participating in this call, we have we have Mr. Jonel Nazareno Iurk, CEO of the Company; Mr. Adriano Rudek de Moura, CFO and Invertors Relations Officer; Mr. Deonilson Roldo, Corporate Management Officer; Mr. Harry Françóia Junior, Institutional Relations Officer; Mr. José Marques Filho, Business Development Officer; Mr. Sergio Luiz Lamy, CEO of Copel GeT; Mr. Antonio Sergio de Souza Guetter, CEO of Copel Distribuição; Mr. Antônio Justino Spinello, CEO of Copel Comercialização; and Mr. Adir Hannouche, CEO of Copel Telecommunications. The presentation that will be made by the Company’s management may be followed at the Company’s website ir.copel.com. Now, we would like to give the floor to Mr. Adriano Rudek de Moura, CFO and Investor Relations Officer of the Company.
Adriano Rudek de Moura: Good morning, everybody. I thank you very much for participating in our call. I would like to start our talk by introducing the new members of the executive board of the Company that have just taken off its starting with our new CEO, Jonel Iurk, Civil Engineer, mathematician. He was a Business Development Officer of the Company between 2013 and 2017, and recently he was President of Compagas, the company in charge of distributing natural gas in the state of Paraná of which Copel holds a stake of 51%, he will be replacing Guetter, who goes back to being the CEO of Copel Distribuição besides the new CEO. Also, we have the new Corporate Management Officer, Deonilson Roldo; the new Business Development Officer, José Marques Filho; and the new Institutional Relations Officer, Harry Françóia Junior would honor us with their presence in this call. Now, I would like to turn the floor over to our new CEO, Jonel Iurk, who will make a brief remark about his main challenges.
Jonel Nazareno Iurk: Thank you, Moura. Good morning, everyone. And I also thank you very much for participating in our call. It is a great satisfaction and pride that I become the head of Copel, a company that is a benchmark in the Brazilian electric sector and has been achieving important steps. As was mentioned by Moura, I was a more of the Copel executive board as Business Development Officer between 2013 and 2017, and when I was able to see in-depth the need and opportunities. Besides, I have been following very closely the relevant subjects that involved in this sector. I would likely affirm our commitment with the continuity of a transparent management and offering results and lastly, further strengthen the Copel positioning in the market where we operate. And we will be keeping focus on the efficiency of our current businesses, as well as opportunities for new businesses. Nevertheless, without waiving our financial discipline, that will continue to require a sustainable return of our investments. We will continue to work on the conclusion of the projects that are underway and that allow us as of this year an additional contribution to our cash generation. And we will also maintain a program of cost reduction that was established in mid 2017 that has reached in six months only, a reduction of over R$350 million vis-à-vis our budget for 2017. I would like to mention that we will continue to strengthen our corporate governance, aiming at transparency and ethics, always essential values of our company. Just to give you one example, in 2017, Copel was recognized as the best among the public companies assessed in a study, an unprecedented study realized by the international Transparency Association Brazil that measured the level of transparency and the activities of the 100 biggest companies and 10 biggest Brazilian banks. And this result reflects the efforts undertaken in the last few years to improve further transparency of our management including a new department, governance, risk and compliance area by 2017, something unprecedented in the sector. And we will continue to deliver a top quality service, which is fully recognized by our clients in all our fields of operations. And this commitment resulted for the fifth time in seven years in the leadership of Copel Distribution in the perception survey of the Abradee award. And for the fifth time in seven years, we also achieve the title of the best distribution company in Latin America in the opinion of consumers and the reason for being of our concessionary, which improved -- further improved its regulatory quality indices, but are much better than the minimum required by Aneel. And we also in February -- lastly, we were awarded the Índice Aneel -- the Aneel Índice of Consumer Satisfaction, promoted by the regulators. And it was chosen as a highlight by the National Quality Foundation for the excellent management practices, world class considered by the entity that also included Copel Telecom in the list of the best organizations in management in Brazil, and Copel Distribution. The recognition by FNQ came after a vigorous process of evaluation that required many months of dedication of the company and of the evaluation team of the foundation. In people management, we must continue to make our best endeavors to have an ongoing improvement in the quality of life and the work environment of our people. And I’m proud to say that by the end of 2017, we became a member of 150 best companies to work in Brazil of the Voce S/A guide, a survey that shows the dedication and professionalism of each one of our over 8,000 employees and which is a result of the perception about the improvements implemented in our people management activities. And before giving the floor to Moura, I would like to highlight one of the many achievements of Copel during this last year, which was invitation by the United Nations that we received in October 2017 to host the first regional center of the Global Compact Cities Program that will contribute to the global development of -- global challenge of sustainable development objective with many things such as poverty, health, education, gender equality, reduction of inequalities all aligned with our commitment, long-term commitment. And achievement such as this one once again guarantees our presence in the very important sustainability indices, ISE or B3, FTSE 4Good of the London Exchange and MSCI ESG of Morgan Stanley, evaluation that placed us among the most committed companies in the world in the utility sector. And I would like to once again mention that I am extremely proud of becoming part of this company again with the commitment of supporting many other achievements from now on. And I would like to thank Antonio Sergio de Souza Guetter for the relevant services delivered to Copel, when he was CEO. He had a very competent management. And I wish him all the successes in this new mission ahead of Copel Distribution. Thank you very much and you can count on me. Now, I would like to give the floor to Moura.
Adriano Rudek de Moura: Thank you, Jonel. I’m sure that with your experience and your professional history, your contribution will be very relevant to Copel. I wish you all the success in the work and all the other -- as well as to the other officers that have just taken office. You may count on me. So, on slide number three, Jonel has talked about our main achievements in 2017 in terms of institutional recognition. And before talking about our financial results, I would like to mention that during the last year, mainly in 2017, the Brazilian electricity sector evidenced once again how resilient it is to crisis. After three years of severe crisis, the economic environment already shows some signs of improvement, reduction in inflation rate, decrease in interest rates, and we can see the beginning of a recovery, a timid recovery in some sectors. Certainly, we will still have a challenge of -- year of many challenges mainly due to the uncertainties in the political scenario that may affect the speed of recovery of the economy. The 1% growth in 2017 in the GDP shows a recovery and helped the performance of our business, specifically in Paraná where we concentrate most of our investments. The performance of the economy was even better with 2.5% increase in the GDP in 2017, strongly influenced by the good performance of agribusiness and recovery of industry and services. Agricultural exports were also players in the result of the Brazilian trade balance that had a surplus of about $67 billion in 2017, the best result in the historical series. To Copel, 2017 was a year recognized by major challenges but we were able to evolve in many aspects that I will be mentioning during the presentation. I would like to mention the annual growth of our operating net revenue of about 7% vis-à-vis 2017 and exceeded the barrier of R$14 billion with a net income of R$1 billion. This is one of the best results in the last few years and consolidates Copel as the biggest company in Paraná and one of the biggest in Brazil. We invested over R$2.5 billion in 2017 into many businesses and part of this investment, about R$450 million was for the conclusion of the construction of over 1,100 kilometers of transmission line with over R$100 million additional revenue per year. With these investments, our transmission assets exceed 6,000 kilometers of lines all over Brazil and give us an annual revenue of R$830 million. Distribution, we are making a gradual increment in our asset base aiming at improving the quality of the system. In 2017, we invested about R$650 million and for 2018 we have already approved investments of R$800 million. Our distribution company is successful in the research and application of new technologies to monitor and automate our grids with focus on Paraná by means of the Programa Mais Clic Rural. This program uses the immediate implementation of intelligent networks and has been improving the quality of energy supplied to rural areas and which increases the quality of life and productivity in the field and also reduces maintenance costs. In generation, we invested over R$975 million in projects such as Colíder and Baixo Iguaçu, HPP and wind farm of Cutia, the final phase of construction and should be started up partially in 2018, contributing importantly to the growth and cash generation for the company. Of course, I must say a few words about the over R$240 million investment made by Copel Telecom focusing on increasing the client base and which is also conquered by of a fiber optics retail interne, which is the fastest in the country. For this year, we will have R$350 million in investments which will allow the company continue to grow sustainably. Now, going to slide number four, I would like to say a few words about the performance of the grid market of Copel Distribuição. The improvement in the economy in 2017 brought positive results to Copel. In 2017, the grid market of Copel Distribuição grew by 3.4% vis-à-vis 2016 for the full year, whereas the consumption of energy in Brazil grew only 0.8% according to EPE data. The performance was even better as we compare it to the performance of the fourth quarter with a 5% almost increase. Through the State of Paraná, in Brazil, we see the tougher trend in economy. And another highlight is a reduction of the delinquency rate which closed 2017 at 1.5%, maybe the lowest in our history in the last few years because of the major efforts. And that can be measured by the important reduction of the provisions for losses estimated as PECLD that closed 2017 in 84 million, a reduction of almost 50% in the amount that we had in 2016, and we have a difference here of about 20 million. And this is our focus for 2018 but should happen gradually. Another positive impact that we had was a reverse of 128 million, referring to the provision for estimated losses regarding the credit impairment due to the acquisition of gas by Compagas with Petrobras. And this contract has a clause of future compensation of balances related to the acquisition of gas volumes contacted and guarantees higher than the ones really used. And this reversal occurred due to the review of the project that it’s an area for the next three years with the estimates of fully compensating the balances by 2024. And in case the concession ends beforehand for any reason the contract, Petrobras provides for the rights of sale of these assets. And with this reversal, in spite of new posting of impairment such as Colíder, Figueira and Cutia, the net result of the test of the fair value of the assets was positive by -- in the last quarter by R$26 million. And lastly, it is important to talk about at Araucária and the impacts caused by financial statement, consolidated financial statement. As we said in the financial statement and the material information filed on April 12, during the preparation of the quarterly statement of September 2017, the Company management identified that Araucária had funds in multi-market investment fund that holds quotas of other investment funds which in their term had investments in the company that wasn’t listed and whose main asset is a real estate project. And this investment was quoted under marketable securities in the current asset funds fee. Company management had information that such investment refers to investments in exclusive fund with a benchmark of a 103.5% of the CDI, laid out by quotas of investment fund and government bond with immediate liquidity and held for negotiation. Due to this reason, the Company management counted on the help of independent experts to check the classification and the value of this investment as well as the scope of trustable impact and the evaluation work has finished and considering the information available, we concluded that needed to make a provision for the evaluation of impairment of this investment due to specific characteristics such as stage of the project and the prospect -- future cash generation prospect. We evaluated what would be the adequate period to post deposition because if the nature of this investment had been identified during 2016, additional analyses would have been made and would -- and that would allow us to conclude that there are signs of impairment based on the information existing at the time. And therefore it should be posted during 2016. Due to the conclusions about the adequate classification and value of this investment and considering information available to file, we made a provision of 137 million for impairment of this investment dated December 31, 2016 and the reclassification of the remaining balance $29 million, [ph] non-current asset due to the expectation of the realization term. And we had to resubmit the comparative balances of 2016. And due to that the independent auditor report about the individual and consolidated accounting statement in the period that ended on December 31 2017 was issued in relation to the relative comparative balance of 2016. And it is not yet possible to obtain the appropriate and sufficient opinion, if the provision should be posted in the financial statement referring to the period ended on 31 December 2016 and presented in the financial statement of 2017 for comparison or if it should be posted to previous period. So, this is related prudently to the fact -- because this should be posted in 2016 or previous years. And we emphasize that there will be no impact whatsoever in the results of 2017. On slide five, about the results of the fourth quarter. I would like to highlight the reversal of the loss of R$271 million posted in the fourth quarter to net income of R$160 million in the fourth quarter of ‘17. And with this result, we reached R$1.1 billion in net income in 2017 as I’ve mentioned, 42% higher than 2016 when net income was about R$790 million. And these results come from a combination of factors occurred both in 2016 and ‘17. And we will be talking in detail during the presentation about them. As to the comparison base, I would like to remind you that the net income referring to fourth quarter of ‘16 is adjusted by the write off of R$137 million referring to the investment in Araucária where the EBITDA of the fourth quarter of ‘16 was impacted by the placing of R$567 million in impairment of generation assets mainly. In relation to the performance of fourth quarter ‘17, I would like to mention the 20% growth in our net operating income, resulting from the higher posting of sectorial assets and liabilities known as CBA which offset part of the cost, the distribution cost, and the dispatch of Araucária. We generated about 195 gigawatt hours in November last year, allowing us to post R$128 million in revenue and the adjustment applied to the distribution tariffs from June 24, 2016. And the performance of the grid market of Copel Distribution growing by almost 5% on a quarter-on-quarter basis. It is also important to highlight the 5% reduction in PMSO due to the salary policy applied as of October 2017, replacing only the inflation in the period and the reduction of 1,281 headcount over 2017. Besides, we posted R$271 million in provisions for lawsuits related mainly to civil, administrative and labor issues, and the posting of R$147 million because of energy repurchase at Copel GeT because of the impacts of GSF and spot price and the operating performance measured by the EBITDA was R$522 million in this quarter, 4 times higher than the one that we had in the same period in ‘16, including the impact already mentioned and important improvements in the Copel DisCo EBITDA as we will be seeing in a few minutes. On slide number six, we present the EBITDA reported per subsidiary. As you can see, Copel GeT had a positive EBITDA of R$118 million in the fourth quarter of ‘17 reversing the negative EBITDA of R$101 million in the same period ‘16. I’d like to make a brief introspective regarding the results presented in the fourth quarter of ‘16 when the EBITDA of Copel GeT was negatively impacted by R$526 million due to the recognition of R$444 million in impairment and also R$82 million of total of R$127 million of Araucária, referring to the valuation of this investment as we mentioned. And [indiscernible] 62% of GeT stake in Araucária, and 20% is the holding stake. And the result presented in the fourth quarter of ‘17 was impacted mainly by the higher cost with the purchase of energy to the effect of the GSF at the spot market -- spot price. And also R$93 million in provision -- non-recurring provision. Copel Distribution grew by 13% in EBITDA in the quarter, totaling R$111 million. And this result is due to the growth of almost 5% of the grid market, the adjustments applied to the tariff since June 2017, and 7% reduction in manageable costs net of revision and reversals. We have a higher balance, mainly due to labor issues and benefits to employees. And Copel Telecom had a reduction of 3% in EBITDA of the fourth quarter of ‘17, on a quarter-on-quarter basis -- on a year-over-year was coming from third party cost necessary to increase our client base. Slide number seven. Adjusted EBITDA of Copel GeT was net of non-recurring impact to make the performance of this subsidiary more clear, adjusted EBITDA of Copel GeT was significant R$317 million. As you can see, 18% lower than the adjusted EBITDA of R$387 million in the fourth quarter of ‘16, impacted by R$147 million in cost of energy purchases due mainly to the hydrologic deficit, which reached 31% in this period. This factor also impacted the accumulated adjusted result. In 2017, we had a cost of R$361 million more with the process of energy when we compared to 2016, amounting to R$61 million. In terms of the performance in 2017, I’d like to mention that the EBITDA reported on the comparative basis during ‘16 was positively impacted by the effect of the recognition of R$810 million in 2016, related to the RBSE partially offset by the posting of R$458 million in impairment and the adjustments of R$82 million in Araucária. On the next slide number 8, we can see that Copel Distribuição had an improvement of 4% in the adjusted EBITDA, in relation to the fourth quarter of ‘16 amounting to a R$143 million in the period. And this result comes from the growth in the grid market and the reduction of 7% in manageable cost, as I mentioned before. And in 2017, Copel Distribuição had an adjusted EBITDA of R$637 million, much better than the one delivered in the same period in the previous year. And I would like to mention that our plan is to reach a regulatory EBITDA by the end of the fourth cycle, in June 2021. And the numbers obtained so far show that we’re on the right track to improve the profitability, not only of Copel Distribuição but the whole group. It is important to mention that reduction in manageable cost of Copel Distribuição comes from a series of measures that the Company has been adopting to reduce costs in owned subsidiaries, among which we have the reduction in headcount and over 2017, 276 employees left Copel Distribuição, 175 by means of the incentivized program, and the program represents a cost of R$24 million in 2017 but with the perspective of an annual reduction of R$38 million starting in 2018. Starting in 2018 R$38 million will be benefit without the impact of the implementation expenses. Slide number nine. For better comparison, we have the recurrent EBITDA per subsidiary as you can see, in comparison of all the subsidiaries. And it is important to mention that Copel GeT continues to give the highest contribution in terms of EBITDA, almost 47% of the total and would be even better if it were not for the 130 impact of energy purchases, coming from the spot price and the GSF, because of hydrological shortage. And Copel Distribuição actually doubled the result in comparison with the fourth quarter of ‘16, being the second biggest for the company. In the case of Copel Telecom, the 2017 EBITDA reached R$134 million, supported mainly by the growth in the client base, very consistent with the previous years. Bottom line, consolidated EBITDA in the quarter grew by 5% compared to the same basis the previous year and 15% for the year-to-date in comparative stages. Now, on slide number 10, we can see more details of the recurrent operating income increase, 19% in the fourth quarter vis-à-vis the same period in ‘16, reaching almost R$4 billion. Unprecedented in this quarter R$4 billion. One of the best results in the last few years. And you can see that the retail revenue has the growth of 14%, explained basically by the adjustment of -- tariff adjustments to Copel Distribuição in June 2017 with the adjustment of the TE by 10% and by being highest average price of the contract for Copel GeT and Copel Comercialização with the free client. The wholesale revenue grew by 29%, mainly because of the dispatch of Araucária which generated about 195 gigawatts hour in November last year, as I mentioned before. And we recorded a R$128 million in revenue from Araucária, as we said. And availability of the grid increased by 8% impacted by the growth of the grid market of the DisCo and the tariff adjustment of Copel which adjusted the TUST by 0.85% as of June 24, 2017, besides of course the increase in revenue due to the start-up of new transmission assets. Telco revenue grew by 10% due to the increase in the client base of Copel Telco as we mentioned and the recognition of CVA reflects mainly the higher cost with the purchase of energy by Copel Distribuição, impacted by GSF and also by the spot price in the period. And lastly, the 10% reduction in other operating revenues reflects a lower revenue from construction and some assets that contributed to this line item in the fourth quarter of ‘16, have already sorted up in the last 12 months. On slide 11, we have show you the recurrent operating costs and expenses, R$3.5 billion in the fourth quarter of ‘17, 23% higher than the same period in 2016, explained mostly by the increase in the cost of energy purchase amounting to R$1.8 billion with growth of R$534 million vis-à-vis the fourth quarter of ‘16 also coming from the GSF and the spot price in the period as we mentioned before. And GeT, we had an increase of R$130 million in the cost with the purchase of energy and the distribution company the cost related to GSF in the line of sectorial financial assets and liabilities which is offset by the tariff. And the charges for the use of the grid grew by 24% due to the higher cost with the charges of the sales and services due to the adjustment of the transmission -- Itaipu energy transmission tariff and also the TUST due to the increase in the RAP that started to remunerate the assets related to the RBSE provision that reversals suggested by extraordinary event have R$91 million more than what we had in the fourth quarter of ‘16. And this growth stems from the higher balances related to civil and administrative lawsuits and also labor and benefits to employees, and the manageable cost had a drop of 4% in comparison to the fourth quarter ‘16 and already reflects the endeavors to control costs, which we detail in slide number 12 now, where you can see that the cost with personnel and management had a drop of 8% even after the 1.62% adjustment applied to salaries as of October ‘17 and R$20 million provision for indemnification for retirement. And this performance reflects among other measures the policy adopted by the company of not replacing or not filling these vacancies. And we have been therefore decreasing our headcount. And in 2017, we had 8,245 employees, a reduction of 286 people over the year. So, related to payroll costs, I would like to mention that the voluntary redundancy plan was closed at the end of March this year. And we had about 600 people participating and they will confirm by December this year their decision. And impacts of the additions will be disclosed when we disclose the results of the first quarter of ‘18 because our third-party services and others had a reduction of 8% mainly due to the review of all our contracts. Just to give an idea, this reduction of 600 people, we expect savings of about R$150 million for the next few years, net of the impact of indemnification. So, this is a very significant reduction. And as we said before, the idea is to continue with the policy of not hiring other people to fill in these vacancies. On slide 13, our leverage, an important item in our agenda. We can see that the net debt EBITDA ratio closed 2017 at 3.1 times, lower than the limit of 3.5 times, considering the figures reported. It’s important to mention that in December, we promoted the uniformization of our financial indices [ph] applicable to the securities issued by the company with another debenture holders general meeting which approved the removal of guarantees of the calculation of the consolidated net financial debt, a reduction of about R$1.5 billion and the calculation of the net debt. And we understand that the additional cash generation from the new projects as well as the combination of many initiatives firm already implemented and mentioned during this meeting such as reduction in cost and the physical and financial timeline of some projects and the evaluation of the sale of some assets, non-strategic assets have already reflected to improve our leverage. And if we considered the adjusted EBITDA numbers without the extraordinary impact, which show a very positive trend, we already see a trend to reduce leverage in 2017. And by the way, I would like to mention about the success of the unit operation of Sanepar, which occurred in December last year and during which Copel showed the total investment of -- in Sanepar for R$485 million, improving the cash generation at the time. And right now, we are focused on rolling out the debt that has an average duration of four years. And we are evaluating many alternatives for funding and initiatives of cash generation which is objective. And we already see higher attractiveness in our financial rates. And I emphasize that we will continue to follow vigorous financial discipline in the evaluation of new investments as well as making our best endeavors so that the projects underway may be finalize as quickly as possible according initial expectations and also regulatory demand and the contract deadlines in order to preserve the fund flow for these projects. Talking about non-strategic asset sale, as we mentioned in the last quarter, I would like to remind you that the Board has already approved on February 23rd the plan for the analysis for divestments, and we are already in the final phase of hiring financial and legal advisors to help us in these evaluations. And lastly, on slide number 14, we talk about the reversal of the loss of R$271 million in the fourth quarter of 2016 to a net income of R$160 million due to the factors that we have already mentioned. And in the year-to-date, the net income was over R$1.1 billion, an increase of 42% vis-à-vis the result of 2016, mainly Copel Distribuição that reversed the loss R$180 million and had a net income R$347 million. And I would like to mention the proposal by the management to be decided by the shareholders meeting contemplating the total distribution of R$289 million in dividend and interest on equity and R$266 million have already been declared in December 2017, corresponding therefore to a 25% payout. The payment date for the total amount will be defined by the shareholders meeting as well. And these were the main highlights of the fourth quarter. And now, we are available to answer any questions that you might have.
Operator: We will start the Q&A session now. [Operator Instructions] This is Lilyanna Yang, HSBC.
Lilyanna Yang: Thank you for the opportunity for the presentation. I would like to know about Copel’s strategy for this year. You have many non-strategic assets. Are you evaluating the possibility of divestment from some of these assets? And secondly, could you talk about the company’s deleveraging strategy? You have many projects that are underway still. Are you going to eliminate some of your CapEx? And are they on schedule? And what about your cash flow? Could it help you in terms of deleveraging the company?
UnidentifiedCompany Representative: Thank you very much for the questions. These are two important questions and two important items in our agenda. Divestments, as I mentioned, there is a plan already approved by our Board. And we are in the final phase of hiring the legal and financial advisors. And this will be completed by the end of this month. And we will be submitting to our Board in May some proposals, so that we can go ahead. So, the evaluation is very thorough and very wide ranging. It evaluates all aspects. Regarding leverage, as I mentioned, I think, we are on the right track, and there will be a very relevant contribution in terms of cash generation from these new projects. I do not see additional risk or additional delays in main project. That should be started up as of 2018. And the expected contribution as of 2018 or ‘19 because some of the projects will be generating cash as of 2019, that would be around R$500 million, additional. So, this is a very important contribution for us to reduce our leverage. And of course, if we sell some assets, we will be able to reduce our debt even further.
Lilyanna Yang: Could you talk about the asset divestment? What do you believe is important to maintain and what you intend to sell?
Unidentified Company Representative: Well, I cannot get into many details, but the idea is to present the more detailed plan in May. And the idea is to achieve some cash impact still within in 2018, and I would say around the last quarter of 2018. That would be a reasonable timeline for us to imagine, provided the shareholders and the Board approve our plan. Thank you.
Operator: Vitor Sousa from Brasil Plural.
Vitor Sousa: Good morning, everyone. Congratulations for the new position in Copel, Mr. Iurk. And her question was very much linked to my question. So, in 2019, it should be -- vis-à-vis 2018, there will be a drop in projects that will be already in operation. My doubt has to do with the cash flow of the company. Would you be investing in a new cycle of investments, new Greenfield projects, or would it be more sense for Copel to pay out these funds to shareholders in the state of Paraná? So, this is my doubt. Are you going to get into a new cycle of investments because of these opportunities in the sector or will you be paying out additional investments?
Unidentified Company Representative: Vitor, can you hear us? Okay. Thank you for the questions. 2019 is a little bit far. But, if we were to think about the use of this cash, we have to keep in mind that we have a concession that will be ending in 2023, a very important one. And we would have to be prepared for this additional investment that might be around R$5 billion. And we have to think about that. We are evaluating all the business opportunities of course and we are being very rigorous in participating in auctions. We have participated in some of them and not -- and the idea is to continue to look for opportunities. If we find a good project we have to analyze all the financials and then we make the investment. Of course, we will be evaluating other things as well but our focus is to generate cash and reduce our leverage, so that we may have more cash to invest in the future.
Vitor Sousa: What you said about concessions in generation that will be ending by 2023. You have two concessions that are the most relevant in our portfolio. What about the negotiation with the federal government and the Ministry of Mines and Energy involved, refers to these concessions? Do you tend to renew, to extend, will there be a public auction, a bidding process? So, what about your negotiations regarding these concessions that are about to end?
Sergio Luiz Lamy: Good morning, Vitor. This is Sergio Lamy, Copel GeT. For the major assets of GeT whose concessions end in 2023, [indiscernible] And of course, this is part of Copel’s strategy to look for the renewal of this concessions such as we did in the past, when we were able to get the concession in 2016 of the Governador Parigot de Souza plant. [Ph] Many studies are being carried out. They are still under way. And in relation to the current regulation and legislation, we only have three alternatives. One, is the possibility of renewal in Measure 179 and the we have already read this. The other one is to take the concession until the end and participating in the concession auction. And the third one that we’re still studying has to do with the provisional measures that was published by the federal government in January. They decree that is to say, for the privatization [indiscernible] and evaluating the possibility of sinking ourselves into this possibility. But again, the studies have not been concluded yet. What I can say that in Brazil it is even difficult to project your past, because even that can change. So, we have to wait for more favorable legislation that may facilitate our objective of recovery or reconquering those concessions again. Thank you.
Operator: Mr. Giuliano Ajeje [ph] from Itau BBA.
Unidentified Analyst: Good morning. Thank you. My doubt has to do with the headcount reduction. You said about a R$180 million in cost reduction and 10% [ph] in your headcount, we intend to continue that for the next few years. Are you still having a reduction in your headcount? And what about third-party services, the renegotiation of cost? Can we expect this to be renegotiation for the next few years?
Unidentified Company Representative: With relation of the incentivize voluntary redundancy program that ended in March, the addition was very relevant, 600 people appeared. And they will come to a final decision by December this year. And this reduction together with the reduction that has already occurred in 2017 of about 160 -- 170 would give us a savings of R$115 million net of the indemnification amount. So, it’s hard to imagine whether they will confirm or not. But, this was our target. This is a very aggressive target in fact. And most of these people are allocated in Distribution, which is included in improvement in our regulatory EBITDA. So that will be a very relevant reduction in terms of cost. We do not intend to renew these areas. So, our idea is to improve productivity and make enough advancements in technology, so that we can really develop -- use this idle capacity that we would have. So, we could consider this as an effective cost reduction. 2019 -- well, this reduction would be permanent.
Unidentified Analyst: What about renegotiating third party services? Do you intend to continue with this aggressive cost reduction policy?
Unidentified Company Representative: So, let me understand your question. Are you talking about the Distribution company?
Unidentified Analyst: No, I am talking in general, the reduction that you achieved so far in services?
Unidentified Company Representative: So, this comes from the measures that we’re putting in place, the cost reduction process that was established in mid 2017, and this will continue. Our work team is multifunctional. We are so active and we have already reviewed our budget for 2018 with a significant reduction. As Jonel mentioned at the beginning of the presentation, we were able to reduce R$350 million already based on the budget approved in -- for 2017 -- in 2017 and we have a target that is very ambitious for 2018. And we have been emphasizing this in all the calls, all our talks with you, that cost reduction is part of our agenda and we’ll continue. And personnel is the highest cost and I am very happy with this participation of all these people in our redundancy program.
Operator: [Indiscernible] from UBS.
Marcelo Sá: This is Marcelo Sá, in fact. I have two questions. I would like to better understand your strategy to sell energy. You have a considerate volume of energy. What do you see in terms of prices for the second half? How have you allocated this over the year, more concentrated into the first half or the second half? How do you see the long-term energy price? And the next question has to do with your cash flow. When we look at the results for the quarter, it was very bad in terms of cash flow, R$700 million cash burnout in the quarter. And if you exclude the cash burn was R$320 million, the decreased dividend. So, as you have a CapEx of around R$3 billion for this year, I believe that you’ll continue to burn cash unless you sell something very relevant. So, my question is a following. Let’s say, you don’t have any relevant assets, could you consider the capitalization of the company such as happened in the past, or are you not considering this possibility?
Sergio Luiz Lamy: In relation to strategy and our energy availability, we are taking a very conservative stand in this regard because of the negative perceptions around GSF still for this year and maybe for the next few years. Just to remind you the Brazilian reservoirs had a much lower level already in 2012. And ever since then, we didn’t see a full recovery of these levels. So, this is a very critical issue of the MRE. And also with the impact of the GSF, I think they will continue for some time. So, our strategy besides of course looking for the best price for product. And we have a very well aligned strategy in this regard, regarding selling over time in a very consistent manner. Of course, you have to leave a provision to cover the GSF deficit. Just to give an idea, this strategy is a winning strategy. Copel GeT for 2018 has something, about 68% of energy already contracted in long-term contracts. So, 22% is non-contracted or terminated. And this happened due to the fact that by the end of last year, we were not 100% sure that we would be 100% successful in the negotiation regarding surpluses of Colíder plant. And when we made the projection, the projection was 85% energy contracted. And as it was successful, we did negotiate the mechanism for the Colíder plant. In fact, it’s a rather good position for us, because we are projecting a leverage spot price, higher of R$200 megawatt hours 220, R$228 per megawatt hour. So, the energy that is in long-term contract besides covering the very strict expectations that we have in terms of the GSF for the second half of this year, it will also allow us to sell at a very satisfactory price. I don’t know whether I have answered your question or not.
Unidentified Analyst: For the long-run, how do you see the price of energy? You are selling energy, let’s say from 219 on. Is there liquidity in the market, what can you say about that?
Unidentified Company Representative: Well, what I can tell you that is that there is liquidity, but liquidity decreases as time goes by. Liquidity is higher in the short run. And for longer period, you can see that liquidity starts to go down. So, there is no adequate strategy of making very large sales for the long run. Just to give you an idea, we will close 2018 with 60% of the energy to be delivered in 2019 already contracted, 70%. I’m talking about 2020, I correct myself. Thank you speaker. It will be 60% and 40% to be sold in 2019. And this strategy has been proving to be very adequate, as I would like to emphasize the fact that this year we are selling energy up to 2024, but the amounts are smaller and the prices are not extremely attractive. Would you like to add something to that? Spinello, will be adding to what I said.
Antônio Justino Spinello: The prices for 2019 are R$205 to R$207 for conversion, and for 2020, a R$170, in 2021 and R$155. Today we have a sale of 30 megawatt auction for 2019-2020-2021. Regarding your second question, just to make it clear, our investment plan for 2018 is BRL2.9 billion is totally aligned with our funding and our cash generation that we’ve estimated. We have some facts to be trimmed. And if we can sell an asset, of course this will be helpful, but this is not really mandatory for this year. And also because we have most of the investments, we are talking about R$900 million approximately that are investments in Cutia Wind Farm and that we are finishing this year and with investments already linked to BNDES funding. So, this is effectively signed with them and negotiations are going very well. So, I would say that our plan is fully aligned with the funding capacity that we have. And cash flow is one of the most critical points in this regard?
Unidentified Analyst: And what about the capital increase? Are you considering that?
Unidentified Company Representative: It was an alternative that was studied in around the middle of 2017. It’s no longer or on our agenda. And we expect in 2018 to have an improvement in cash generation, as I said coming from a project and also positive impact in terms of our cost reductions, counting also on the improvement of the economy that is what everybody expects.
Unidentified Analyst: Just to confirm, when you talk about improvement in cash generation, if you look at December 2018 and the net debt, could we expect this to drop or will it continue to go up? Because when we model, we cannot really see a positive cash generation this year. So, in fact, we believe it is negative and net debt will go up. Maybe your math is wrong, but do you believe the net debt will be dropping or…?
Unidentified Company Representative: No, it will be stable. Our succession is to have this at a stable level. And with that equity ratio, we will improve for the reasons that we mentioned. So, we intend to keep our net debt at the level that it is today. Okay? We have new funding as I said from BNDES to support Cutia. This is a new funding. And other things will be happening over the year to maintain those levels. Thank you.
Operator: As there are no more questions, I would like to give the floor back to Mr. Adriano Rudek de Moura for his closing remarks.
Adriano Rudek de Moura: I would like to end giving special thanks to those who have helped us to draft the financial statements of 2017. This was very tough week. And I would like thank you for your understanding and the patience on the part of our shareholders and investors that understood the reason for that. Thank you very much. And have a very good day.
Operator: Thank you very much. Copel’s conference call is closed. We thank you for participating and wish you all a very good day. Thank you.